Operator: Good morning, and welcome to the NextEra Energy and NextEra Energy Partners' Fourth Quarter and Full Year 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jessica Aldridge, Director of Investor Relations. Please go ahead.
Jessica Aldridge: Thank you, Andrew. Good morning everyone and thank you for joining our fourth quarter and full year 2021 combined earnings conference call for NextEra Energy and NextEra Energy Partners. With me this morning are Jim Robo, Chairman and Chief Executive Officer of NextEra Energy; Rebecca Kujawa, Executive Vice President and Chief Financial Officer of NextEra Energy; John Ketchum, President and Chief Executive Officer of NextEra Energy Resources; and Mark Hickson, Executive Vice President of NextEra Energy, all of whom are also officers of NextEra Energy Partners; as well as Eric Silagy, President and Chief Executive Officer of Florida Power & Light Company. Jim will provide some opening remarks, and we'll then turn the call over to Rebecca for a review of our fourth quarter and full year results. Our executive team will then be available to answer your questions. We will be making forward-looking statements during this call based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in today's earnings news release and the comments made during this conference call in the risk factors of the accompanying presentation or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our websites, nexteraenergy.com and nexteraenergypartners.com. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of historical non-GAAP measures to the closest GAAP financial measure. As a reminder, Gulf Power legally merged into Florida Power & Light Company effective on January 1, 2021. Gulf Power continued as a separate reportable segment within Florida Power & Light and NextEra Energy through 2021, serving its existing customers under separate retail rates. Throughout today's presentation, when we refer to FPL, we are referring to Florida Power & Light, excluding Gulf Power, unless otherwise noted or when using the term combined. With that, I will turn the call over to Jim.
Jim Robo: Thanks, Jessica, and good morning everyone. Both NextEra Energy and NextEra Energy Partners had an outstanding year in 2021 and are well positioned to capitalize on the substantial opportunities that lie ahead. NextEra Energy's performance was strong both financially and operationally, and we executed the largest capital program in our history, investing approximately $16 billion in American Energy infrastructure in 2021, which we expect will again place NextEra Energy among the top capital investors in the U.S. across all industries. Continuing our long track record of delivering value for shareholders, NextEra Energy achieved full-year adjusted earnings per share of $2.55, up more than 10% from 2020. Over the past 10 years, we've delivered compound annual growth and adjusted EPS of approximately 9%, which is the highest among all top 10 U.S. power companies, who have achieved, on average, compound annual growth of roughly 3% over the same period. Amid this significant growth, the company has maintained one of the strongest balance sheets and credit positions in the industry. In 2021, we delivered a total shareholder return of more than 23%, significantly outperforming the S&P 500 Utilities Index and continuing to outperform both the S&P 500 and the S&P 500 Utilities Index in terms of total shareholder return on a 3, 5, 10 and 15-year basis. Over the past 15 years, we've outperformed nearly all of the other companies in the S&P 500 Utilities Index and quadrupled the average total shareholder return of the index. Over the same period, we've outperformed 80% of the companies in the S&P 500 while nearly tripling the average total shareholder return of the index. We are proud of our long-term track record of providing growth and value creation opportunities for our shareholders, and we remain intensely focused on execution and continuing to drive shareholder value over the coming years. At FPL, net income increased nearly 11% year-over-year while continuing to deliver on its commitment to making smart, long-term investments in innovative technology, clean energy and strengthening our electric grid for the benefit of our customers. We were pleased the Florida Public Service Commission unanimously approved the settlement agreement in October, an agreement, which we believe is a fair and balanced outcome in our base rate case. The 2021 settlement agreement supports continued smart capital investments, including the largest solar build-out by a utility in the U.S. while keeping FPL's typical residential bills well below the national average and among the lowest in Florida through the end of 2025. For customers in Northwest Florida, typical customer bills are projected to decline over the next four years. Among the long-term infrastructure investments anticipated in the new agreement, new solar generation is expected to grow through the expanded SolarTogether community solar program, which is expected to more than double over the next four years, as well as through new base rate solar generation, including the nearly 1,800 megawatts to be recovered under solar base rate adjustments, or SoBRA, upon reaching commercial operations in 2024 and 2025. In total, our current solar build-out expectations are for approximately 4,800 megawatts of new solar over the term of the settlement agreement. In early 2019, FPL announced its ground-breaking goal to install 30 million solar panels in Florida by 2030. With the anticipated solar additions approved under the settlement agreement, I am pleased to announce that we now expect to reach this milestone by 2025, five years earlier than previously anticipated. Including the solar additions anticipated through 2025, this ambitious 30-by-30 initiative is expected to have generated approximately $2.5 billion in fuel cost savings for customers and created more than 20,000 construction jobs, while supporting the Florida economy with more than $700 million in property taxes over the life of the assets. During 2021, FPL successfully executed on its strategic initiatives, including placing another 671 megawatts of cost effective solar in service, completing the first roughly 1,500-megawatt phase of our SolarTogether community solar program. Additionally, last month we commissioned the world’s largest integrated solar-powered battery system, the 409-megawatt Manatee Energy Storage Center, which will allow our customers to benefit from low-cost solar energy even during times when the sun is not shining. FPL has also continued to provide exceptional service reliability, achieving its best-ever reliability rate in 2021, and FPL was recognized for the sixth time in seven years as being the most reliable electric utility in the nation. Moreover, FPL was ranked number one in both residential and business customer satisfaction in the southern U.S. amongst large electric providers by J.D. Power in 2021, and we are completely committed to continuing to provide clean, affordable, and reliable service to our customers for many years to come. Energy Resources also had a terrific year in 2021, delivering adjusted earnings growth of 13% versus the prior year. The team also had an outstanding, record year of renewables and storage origination, adding approximately 7,200 net megawatts to our backlog during the year as we continue to capitalize on the ongoing clean energy transition that is occurring in our nation’s generation fleet. Our backlog additions have grown at a more than 20% compound annual growth rate since 2017, and we are well on our way to meeting our current development expectations for new signed contracts. With the significant additions to our backlog of signed contracts over the last year, we've now signed nearly 80% of the megawatts needed to realize the midpoint of our 2021 to 2024 development expectations range with significant time remaining to sign additional power purchase agreements. Our supply chain and engineering and construction teams also continued to execute in 2021, commissioning approximately 3,800 megawatts of new wind and wind repowerings, solar and storage projects. Over the past two years, Energy Resources has constructed more than 9,500 megawatts of renewables and storage projects, demonstrating the strength and resiliency of its execution expertise even in the midst of a global pandemic and industry-wide supply chain disruptions. Finally, during 2021 NextEra Energy Transmission furthered its efforts to grow America's leading competitive transmission company and had its best year ever. During the year, the business delivered a record earnings contribution by increasing net income by nearly 20% over its previous earnings contribution record in 2020. Growth in renewables means that there is also a growing imperative to build additional transmission across the U.S. to support this transition to a low-cost, low-carbon economy fueled by renewable energy. We anticipate that NextEra Energy Transmission will continue to capitalize on the growing opportunity set to both deploy capital profitably as well as to enable further renewables deployment. The tremendous execution of both of the major businesses in recent years including 2021 gives us great visibility to the longer-term outlook of NextEra Energy. Let me start with our opportunity set, which I would not trade with anyone in our industry. At Florida Power & Light, the settlement agreement allows us to focus on operating the business efficiently, reliably and affordably for the benefit of our customers. Under the new agreement, we expect our average annual growth in regulatory capital employed to be between 8 and 9 percent over the four-year term through 2025. When you put it all together: low bills, best-in-class reliability, award-winning customer service and a clean emissions profile are what help FPL provide, what we believe, is one of the best customer value propositions in the nation. At Energy Resources, our outlook for new renewables and storage development remains as strong as ever, and we are excited to be able to continue supporting the industry's transition away from old, inefficient forms of generation and into clean, reliable, low-cost renewables and storage. We believe that the rapidly accelerating trend toward electrification and decarbonization of a broad range of sectors across the U.S. economy has significantly increased the total addressable market for new renewables and storage even beyond our expectations just a few years ago and is now measured in trillions of dollars of capital investment opportunity in the coming decades. We believe that Energy Resources is uniquely positioned to advance its market leadership position in this environment. We have been in the renewables business for more than 30 years and have the experience, resources, balance sheet, talent and advanced data capabilities necessary to execute complex renewable energy generation and storage integration projects at scale. We believe we have an excellent opportunity set for continued growth ahead of us at Energy Resources, and we will further discuss our long-term plans for deploying renewables at both Energy Resources and Florida Power & Light and the associated impact to our overall emissions profile and future goals at our upcoming investor conference, which we plan to hold on June 14th in New York City. With the anticipated continued strength of the investment opportunities at both Florida Power & Light and NextEra Energy Resources, I am pleased to announce that we are increasing our adjusted earnings per share expectations for 2022 and 2023 and introducing our expectations for 2024 and 2025. For 2022, we are now expecting our adjusted earnings per share to be in a range of $2.75 to $2.85, up from our prior range of $2.55 to $2.75. For years 2023 through 2025, we expect to grow our adjusted earnings per share by roughly 6 to 8 percent per year off the expected 2022 adjusted earnings per share. For 2023, this translates to a new range of $2.93 to $3.08, up from our prior range of $2.77 to $2.97. Our new adjusted earnings per share expectations for 2024 are $3.13 to $3.33, and for 2025 are $3.35 to $3.60. As always, our expectations assume our usual caveats, including normal weather and operating conditions. In summary, we continue to remain as enthusiastic as ever about NextEra Energy’s long-term growth prospects. Based on the strength and resiliency of our underlying businesses, we will be disappointed if we are not able to deliver financial results at or near the top end of our adjusted earnings per share expectations ranges in each of 2022, 2023, 2024 and 2025, while at the same time maintaining our strong credit ratings. Let me now turn to NextEra Energy Partners, which delivered a total unitholder return of approximately 30% in 2021, bringing its two-year total unitholder return up to more than 72% and further advancing its history of value creation since the IPO in 2014. For 2021, the NextEra Energy Partners grew its LP distributions per unit by 15% year-over-year and has now grown its distributions per unit by nearly 280% since the IPO. NextEra Energy Partners achieved its distribution growth objectives while maintaining a trailing twelve-month payout ratio of approximately 80% as of year-end 2021. NextEra Energy Partners had a terrific year of execution in 2021 and we are increasing our year-end 2021 financial expectations to reflect this better-than-expected growth execution. NextEra Energy Partners delivered year-end run-rate adjusted EBITDA and cash available for distribution in excess of our prior expectations, including delivering more than 13% year-over-year growth in run-rate cash available for distribution at the midpoints. This execution is supported by NextEra Energy Partners' outstanding portfolio of clean energy assets, which was further diversified in 2021. During the year, NextEra Energy Partners acquired interests in approximately 1,900 net megawatts of long-term contracted renewables and storage assets from Energy Resources. In addition, during the year NextEra Energy Partners successfully completed two acquisitions of renewable energy assets from third parties, adding nearly 500 megawatts of operating wind projects to its portfolio. These transactions demonstrate NextEra Energy' ability to leverage the operational expertise of NextEra Energy Resources, low-cost sources of capital and our strong industry relationships to be successful in third party acquisitions. The combination of a growing portfolio at Energy Resources and a growing set of opportunities to acquire renewables from third parties, as well as significant organic growth opportunities, further supports the partnership's long-term growth visibility. NextEra Energy Partners also continue to demonstrate its ability to access attractive sources of capital to finance its growth investments, including executing on the lowest-cost convertible equity portfolio financing in its history. The roughly $820 million convertible equity portfolio financing carries a low implied cash coupon to the investor and partially funded NextEra Energy Partners acquisition of a 50% interest in a renewable portfolio, consisting of approximately 2,520 megawatts of newly constructed or in construction renewables projects and approximately 115 megawatts of integrated battery storage. NextEra Energy Partners was able to demonstrate the benefits to LP, unit holders of the convertible equity portfolio financing structure during the fourth quarter, when the partnership exercised its right to purchase 100% of the outstanding, minority equity interests in the portfolio of wind and solar assets supporting it's 2018, convertible equity portfolio financing. Relative to issuing the same amount of common equity in 2018 to fund our growth needs, this financing allowed us to reduce unit issuance by more than 50% and save more than $140 million or roughly 75% and nominal cash costs, while retaining the more than 80% increase in the NEP unit price over the last three years. NextEra Energy Partners public float has increased approximately 50% since 2019. We believe our strategy of using low-cost, convertible equity products to efficiently layer in common equity over time has created significant value for existing LP unit holders. I continue to believe that the combination of NextEra Energy Partners clean energy, portfolio growth visibility and financing flexibility offers LP unit holders, a uniquely attractive investor value proposition. As with NextEra Energy, we remain intensely focused on continuing to execute and deliver that unit holder value over the coming years. Finally, I'd like to comment on some important organizational changes that we announced this morning. These changes are part of a long-term succession process undertaken by the Board and me over the better part of the last six years. Effective, March 1 John Ketchum apprised me as President and CEO of NextEra Energy. Rebecca will succeed John as President and CEO of NextEra Energy Resources; Kirk Crews currently Vice President of Business Management for NextEra Energy Resources will secede Rebecca as Executive Vice President and Chief Financial Officer of NextEra Energy. John, Rebecca and Kirk will also be appointed to the respective roles at NextEra Energy Partners. In addition, Eric Silagy, President and Chief Executive Officer of Florida Power & Light Company has been named Chairman and Chief Executive Officer of Florida Power & Light. It has been an honor and a privilege to serve as CEO for nearly ten years. I'm as excited as I have ever been about the future prospects of NextEra Energy and NextEra Energy Partners. A big part of a CEO's legacy is the new leader in the next-generation leadership team that follows. And I couldn't be more thrilled about turning over the CEO role of this great company to John. I know he will be as focused on creating value for you, our owners, as I have been over the last two decades. John has been an incredible partner to me and a senior leader in this company for more than 19 years. And I can think of no better person to succeed me as CEO. John's breadth of experience across all aspects of our company, including commercial, operational, financial, and legal, as well as the significant leadership capabilities and vision, position him exceptionally well to lead NextEra Energy to even greater heights in the coming years. I also want to congratulate Rebecca, Eric and Kirk on their new roles. One of the defining characteristics of this company over the last 30 years has been the quality and strength of its leadership team, and I'm very proud of and excited for the team that will leave this company into the future. Most importantly, I want to thank my team and all our employees for all that they have done. Our team, the best in the business, has built this amazing company, and I can't thank them enough. As the announcement mentioned, I'm going to remain as Executive Chairman for a transition period to support John in his new role. I will now turn the call over to John, who would like to make some remarks.
John Ketchum: Thank you, Jim. And good morning, everyone. I have been privileged to have worked with and learned from Jim during an incredible period of growth for our company. And I am honored to have the opportunity to lead this company in the years ahead. As CEO, I intend to remain intensely focused on delivering value for our shareholders and building upon our long track record of success. I believe there is no company better positioned to lead our country's energy transformation than NextEra Energy. And I am humbled by the opportunity to lead this team through such an exciting period for our company. I am fortunate to have a broad leadership team with the experience and capability that I, too, believe is the best in the industry. I am very excited to have Eric, Rebecca and Kirk take on these expanded and new roles in the company. They, along with our broader leadership team and all of our approximately 15,000 employees, work tirelessly every day to serve our customers in Florida and across North America. Finally, I wanted to take a moment to thank Jim for his exceptional leadership and friendship. Jim has been an unbelievable steward of this company over his nearly ten years as CEO, growing the leading, most profitable, electric utility and renewable energy company in North America. Our total shareholder return during Jim's tenure has been more than 500%, and it is great evidence of Jim's exceptional vision, leadership and commitment to excellence. I know I speak for all of our employees that we are deeply grateful for everything Jim has done for our company. Let me now turn it over to Rebecca for a more detailed review of our results.
Rebecca Kujawa: Thank you, John. And good morning, everyone. Let's now turn to the detailed results, beginning with FPL. For the fourth quarter of 2021, FPL reported net income of $560 million or $0.28 per share, up $0.03 per share year-over-year. For the full year 2021, FPL reported net income of $2.94 billion or $1.49 per share, an increase of $0.14 per share versus 2020. Regulatory capital employed increased by approximately 11% for 2021, and was the principal driver of FPL's net income growth of nearly 11% for the full year. During the fourth quarter, net income was impacted by a number of factors, including an approximately $32 million pretax contribution to our charitable foundation that will allow it to continue to support the communities that we serve. FPL's capital expenditures were approximately $2.2 billion in the fourth quarter, bringing its full year capital investments to a total of roughly $6.8 billion. FPL's reported ROE for regulatory purposes is expected to be 11.6% for the 12 months ended December 31, 2021. During the fourth quarter, we utilized approximately $137 million of reserved amortization, leaving FPL with a year-end 2021 balance of $460 million. As a reminder, our new four-year settlement agreement became effective this month, and includes the flexibility over the four-year term to amortize up to $1.45 billion of depreciation reserve surplus, which is inclusive of $346 million in reserve amount that we previously anticipated to be remaining at year-end 2021 under FPL's now expired 2016 rate agreement. Consistent with the terms of the 2021 settlement agreement, half of the $114 million in excess reserve balance at year-end 2021 will be used to reduce our outstanding capital recovery asset balance. And the other half will increase FPL's storm reserve to offset future restoration costs. As a reminder, the new agreement limits reserve amortization to $200 million in 2022, which we will treat as a limitation in any given quarter during the year. Given the historical shape of our customer usage, we typically use more reserve amortization in the first half of the year and reverse reserve amortization in the hotter summer months. We currently expect FPL to initially earn below our target regulatory ROE in the early part of 2022. Although for the full year we are targeting the upper end of the allowed range of 9.7% to 11.7%. As a result, we also expect FPL's earnings growth to be lower in the first half of the year and higher in the second half. As always, our expectations assume our usual caveats, including normal weather and operating conditions. Our overall capital program at Florida Power & Light is progressing well. We continue to advance one of the nation's largest solar expansions and met our solar deployment objectives at both FPL and Gulf Power in 2021, including commissioning more than 800 megawatts of new solar across the combined system. Beyond solar, construction on the highly efficient roughly 1,200-megawatt Dania Beach Clean Energy Center remains on schedule and on budget, as it continues to advance towards its projected commercial operations date later this year. The North Florida Resiliency Connection remains on track to be in service by mid-2022. Let me now turn to Gulf Power, which, as a reminder, was legally merged into FPL on January 1, 2021, but continue to be reported as a separate regulated segment during 2021. Gulf Power reported fourth quarter 2021 GAAP earnings of $60 million or $0.03 per share. For the full year, Gulf Power reported net income of $271 million or $0.14 per share an increase of $0.02 per share year-over-year. Base O&M reductions and investments in the business were the primary drivers of Gulf Power's approximately 14% year-over-year growth in net income. Gulf Power's capital expenditures for the full year were roughly $800 million, and it’s reported ROE for regulatory purposes is expected to be approximately 11.25% for the 12 months ending December 2021. Given that this is the last time we will be talking about Gulf Power's financial results, let me take a moment to summarize the team's execution over the past three years. Gulf Power has delivered significant improvements in all key financial and operational metrics, while meaningfully improving its customer value proposition. The execution of the NextEra Energy playbook at Gulf Power, which is focusing on reducing costs and making smart capital investments for the benefit of customers, has been a remarkable success. Gulf Power has realized a nearly 40% reduction in O&M costs since the acquisition. Since 2018, Gulf Power improved service reliability by nearly 60%, and was awarded national recognition for its outstanding reliability performance in the Southeast suburban and rural service area for the second year in a row in 2021. Over the same period, Gulf Power realized an approximately 60% improvement in safety among our employees who have worked tirelessly to help us execute on our plans. Regulatory capital employed has grown by approximately 16% compound annual growth rate since 2018. We have invested approximately $2.5 billion in long-term improvements to Gulf Power's existing system and generation fleet. As a result of our clean power modernization investments at Gulf Power, we have already delivered an approximately 25% reduction in CO2 emissions over the last three years, and we look forward to further expanding the opportunity for our customers to access clean, low-cost solar and storage in the years to come. This high level of performance across the board could not have been possible without the hard work and commitment of all of the Gulf Power employees. And I would like to thank all of our Florida Power & Light employees, old and new, for their relentless focus on reducing costs while improving reliability and safety over the past three years. Execution of the plans that we laid out at Gulf Power has generated great outcomes for our shareholders as well. Gulf Power's net income has grown by a compound annual growth rate of approximately 19% since 2018, an outcome that was even better than our expectations when we announced the acquisition. Our performance with Gulf Power is a clear validation of our strategy and our conviction that you can be clean, reliable, affordable and profitable at the same time. The Florida economy remains strong. Over the last 10 years, Florida's GDP has grown at a roughly 5% compound annual growth rate. The GDP of Florida is roughly $1.2 trillion, which is up approximately 8% from pre-pandemic levels and would make Florida the 15th largest economy in the world. At the same time, Florida's population continues to grow at one of the fastest rates in the nation. According to recent Census Bureau data, more people moved to Florida from other parts of the country than to any other state in 2021. We believe this is a reflection of Florida's unique proposition in terms of great weather, low taxes and a pro-business economy, all of which should support ongoing customer growth at Florida Power & Light. Over the past year, Florida has created more than 485,000 new private sector jobs and Florida's labor force participation rate has improved significantly. Three months average Florida building permits, a leading indicator of residential new service accounts are up 15% year-over-year and have outpaced the nation's quarterly growth in new building permits by roughly 13%. Other measures of confidence in the Florida economy have meaningfully improved versus the prior year, including a 34% improvement in Florida's retail sales index and a 2.6% decline in mortgage delinquencies while mortgage delinquencies across the U.S. have remained roughly flat. During the quarter, FPL's average customer growth was strong, increasing by nearly 82,000 customers from the comparable prior year quarter. FPL's fourth quarter retail sales were down 1.5% versus the prior year period, driven by an unfavorable weather comparison. For 2021, FPL's retail sales increased 1.7% from the prior year on a weather-normalized basis, driven primarily by ongoing strong customer growth and a 1.5% year-over-year increase in underlying usage per customer. Additional details are shown on the accompanying slide. Energy Resources reported fourth quarter 2021 GAAP net income of $851 million or $0.43 per share. Adjusted earnings for the fourth quarter were $414 million or $0.21 per share. Energy Resources contribution to adjusted earnings per share in the fourth quarter is up $0.04 versus the prior year comparable period. For the full year, Energy Resources reported GAAP earnings of $599 million or $0.30 per share and adjusted earnings of approximately $2.21 billion or $1.12 per share. Energy Resources full year adjusted earnings per share contribution increased $0.13 or approximately 13% versus 2020. For the full year, growth was driven by continued new additions to our renewables and energy storage portfolio as contributions from new investments increased by $0.12 per share. Contributions from existing generation and storage assets decreased $0.04 versus the prior year due primarily to underperformance in our existing wind fleet as a result of extreme market conditions in Texas in February of last year. NextEra Energy Transmission and Gas Infrastructure contributed favorably, increasing results by $0.01 and $0.02, respectively, year-over-year, while the contribution from our customer supply and trading businesses decreased $0.02 versus 2020; all of their impacts increased results by $0.04 year-over-year. As Jim mentioned, Energy Resources had an outstanding year delivering our best year ever for origination, adding approximately 7,200 net megawatts of new renewables and battery storage projects to our backlog. In 2021, we commissioned approximately 3,800 megawatts of wind, solar and storage projects, including a 110-megawatt build-on transfer project that was not included in our backlog. In addition, since the last call, we have added approximately 1,500 megawatts of renewable projects to our backlog; including approximately 700 megawatts of new wind and wind repowerings, 300 megawatts of solar, and 500 megawatts of battery storage. Our origination performance in 2021 reflects continued high demand among all customer classes for clean energy solutions that not only help achieve their renewable energy goals, but perhaps more importantly allow our customers to save energy on – save money on energy costs, while switching to lower cost forms of generation like wind, solar and solar-plus storage. Our renewables backlog now stands at more than 6,600 megawatts, which is roughly the size of our entire renewable generation portfolio at the end of 2017, and nearly 25% larger than our backlog at year-end 2020. And this provides terrific visibility into the strong growth that lies ahead for Energy Resources over the next few years. The accompanying slide provides additional details on where our development program and energy resources now stand. We remain optimistic about the expanded investment opportunities that the broad decarbonization of the U.S. economy presents for Energy Resources. We believe that there are many new market opportunities where our industry leading development platform will provide a competitive advantage to further grow our core long-term contractor of renewables and storage business. As we have previously discussed green hydrogen presents a particularly compelling new market for Energy Resources. During the fourth quarter a clean energy technology company in which we are a minority equity investor and that it has developed a proprietary process to decarbonize industrial production of hydrogen and economic prices. One, a conditional approval for an approximately $1 billion DOE, Department of Energy loan to expand its clean hydrogen and carbon black product facilities in Nebraska. Our agreement with this company provides Energy Resources the opportunity to be its preferred renewable energy supplier for the facility and we are encouraged by the acceleration of the facilities build-out that is expected to occur as a result of this new loan. Similarly, early in the year we completed the strategic investment in a liquid fuels company with a proprietary process to produce zero emissions synthetic fuels by combining green hydrogen with concentrated carbon dioxide streams captured from industrial processes. Our strategic partnership with this company includes the opportunity for energy resources to provide up to 3,000 megawatts under a preferential energy supply agreement. Finally, as part of our efforts to help our commercial and industrial customers achieve their substantial goals for both energy savings and decarbonization we recently announced an agreement with JPMorgan Chase that allows for use of our proprietary state-of-the-art smart energy software to optimize its energy use and reduce its carbon footprint. Energy Resources advanced software platform uses artificial intelligence and block-chain technology and leverages data from the industry leading renewables and storage fleet owned and operated by Energy Resources. Two, among other things match energy demand with clean energy resources available on the market in real time. We recently signed a similar agreement that allows a large university to use our advanced software platform to manage and optimize a more than 100-megawatt solar plus storage asset in California. Through these initiatives Energy Resources is leveraging its best-in-class renewable energy expertise to provide significant value to its customers in a market with meaningful growth potential. We are at the vanguard of building a sustainable energy era that is both clean and affordable, and we are driving hard to continue to be at the forefront of the disruption that is occurring within the energy sector and broader parts of the U.S. economy. Consistent with our long-term track record, we will remain disciplined as we take steps to be at the forefront of these developing markets, while taking a leadership role in clean energy transition, expected to drive tremendous growth for Energy Resources over the next decade and beyond. Turning now to the consolidated results for NextEra Energy. For the fourth quarter of 2021 GAAP net income attributable to NextEra Energy was $1.2 billion or $0.61 per share. NextEra Energy's 2021 fourth quarter adjusted earnings and adjusted EPS were $814 million or $0.41 per share respectively. For the full year 2021 GAAP net income attributable to NextEra Energy was $3.57 billion or $1.81 per share. Adjusted earnings were $5.02 billion or $2.55 per share. For the Corporate and Other segment, adjusted earnings for the full year decreased $0.05 per share compared to the prior year, primarily as a result of higher interest and refinancing costs associated with certain liability management initiatives completed during the fourth quarter to take advantage of the low interest rate environment. Our fourth quarter refinancing activities reduced nominal adjusted net income by roughly $140 million. We expect these initiatives to translate into favorable net income contribution in future years and an overall improvement in net present value for our shareholders. Specifically, during the fourth quarter, NextEra Energy successfully refinanced approximately $5.2 billion in existing debt and hybrid securities and proactively issued roughly $4.9 billion in replacement funding. This combination of redemptions and new issuance extended its maturity profile by over 6 years and is expected to generate an approximately $30 million after-tax reduction in annual interest expense in the near-term. Capital recycling remains an important part of our financing plan as we continue to execute on the tremendous growth opportunities in front of us. During the fourth quarter, Energy Resources closed on its previously announced agreements to sell a portfolio of newly constructed and under construction renewable assets to NextEra Energy Partners and to a third-party infrastructure investor. Through the sale of this 2.5-gigawatt renewables portfolio, Energy Resources was able to recycle nearly $3.5 billion of capital, including the tax equity proceeds in accretive manner, and take advantage of the strong market for wind, solar and storage assets. We believe that our renewables development platform at Energy Resources is second to none, and our ability to continue to harness market demand for renewables and recognize the value of that platform is a key competitive advantage for NextEra Energy as it continues to grow its portfolio of long-term contracted operating renewables and storage assets at Energy Resources. Turning now to our financial expectations for NextEra Energy. As Jim discussed, today we are increasing the ranges of our adjusted EPS expectations for 2022 and 2023, and introducing our expectations for 2024 and 2025. For 2022, NextEra Energy now expects adjusted earnings per share to be in a range of $2.75 to $2.85. For 2023 through 2025, NextEra Energy expects to grow roughly 6% to 8% off of the expected 2022 adjusted earnings per share range, and we will be disappointed if we are not able to deliver financial results at or near the top end of these ranges for each year. Details of our new financial expectations are included on the accompanying slide. From 2021 to 2025, we expect that our average annual growth in operating cash flow will be at or above our adjusted EPS compound annual growth rate range. We also continue to expect to grow our dividends per share at roughly 10% per year through at least 2022 off of a 2020 base. As always, our expectations assume our usual caveats. Let me now turn to the detailed financial results for NextEra Energy Partners. Fourth quarter adjusted EBITDA was $322 million and cash available for distribution was $91 million. Adjusted EBITDA growth versus the prior year comparable quarter was primarily due to the growth in the underlying portfolio. For the full year 2021, adjusted EBITDA was $1.36 billion, up 8% year-over-year, and was primarily driven by the full contribution from new projects acquired in late 2020. In our existing projects portfolio, favorable performance from NextEra Energy Partners' natural gas pipeline investments and contributions from the wind repowerings that we added at the end of 2020 were partially offset by weaker wind resource and lower generation at our Genesis solar project as a result of outages for major maintenance in the first and fourth quarters of 2021. For the full year, wind resource was 98% of the long-term average versus 100% in 2020. Cash available for distribution was $584 million for the full year. The benefit to cash available for distribution from lower corporate level interest expense was partially offset by comparably higher project-level financing costs on our Genesis solar project and other existing assets that were recapitalized to fund the acquisition of approximately 500 net megawatts from Energy Resources at the end of 2020. Over the past three years, NextEra Energy Partners' cash available for distribution has grown at a compound annual growth rate of approximately 20%. As a reminder, these results include the impact of IDR fees, which we treat as an operating expense. Additional details are shown on the accompanying slide. Yesterday the NextEra Energy Partners Board declared a quarterly distribution of $0.7075 per common unit, or $2.83 per unit on an annualized basis, up 15% from the comparable quarterly distribution a year earlier and at the top end of the range we discussed going into 2021. During the quarter, NextEra Energy Partners closed on the initial funding of its approximately $820 million convertible equity portfolio financing with Apollo Global Management and used those proceeds, along with existing NextEra Energy Partners debt capacity, to fund its acquisition of approximately 1,300 net megawatts of renewables and storage from Energy Resources. Under the terms of the agreement, NextEra Energy Partners is expected to benefit from a low implied initial cash coupon over the first ten years despite only providing approximately 4% of the upfront capital needed to purchase the assets, while we expect will allow NextEra Energy Partners to achieve a full return of its capital invested into this acquisition in less than two years. Additionally, the financing will provide NextEra Energy Partners the flexibility to periodically buy out the investor's equity interest between the five and ten-year anniversaries of the agreement at a fixed pre-tax return of approximately 5.6% inclusive of all prior distributions, making this NextEra Energy Partners' lowest cost convertible equity portfolio financing to date. NextEra Energy Partners will have the right to pay up to 100% of the buyout price in NEP common units, issued at no discount to the then-current market price. NextEra Energy Partners also issued approximately 7.25 million new NEP common units during the fourth quarter to acquire the remaining equity interests in a portfolio of 1,388 megawatts of wind and solar assets associated with the convertible equity portfolio financing that NEP entered into in 2018. NextEra Energy Partners funded the remaining roughly $265 million of the approximately $885 million of total consideration for the acquisition of equity in the portfolio with project-level debt issued on a subset of the underlying assets. The nearly $650 million project financing supported by these assets, which was also the lowest-cost project-level debt financing in the partnership's history, is reflective of the strong performance of the underlying assets in the portfolio and also supported financing of other growth opportunities executed in 2021. From an updated base of our fourth quarter 2021 distribution per common unit at an annualized rate of $2.83, we continue to see 12% to 15% growth per year in LP distributions as being a reasonable range of expectations through at least 2024. We expect the annualized rate of the fourth quarter 2022 distribution that is payable in February 2023 to be in a range of $3.17 to $3.25 per common unit. We continue to expect to achieve our 2022 distribution growth of 12% to 15% while maintaining a trailing 12-month payout ratio in the low-80% range. Given the successful execution of the recent acquisition from Energy Resources, as well as the approximately 100-megawatt operating wind facility from a third party, year-end December 31, 2021 run-rate adjusted EBITDA and cash available for distribution exceeded our previous expectations ranges. As a result, today we are introducing new year-end 2021 run-rate expectation ranges for adjusted EBITDA and cash available for distribution of $1.635 billion to $1.795 billion and $640 million to $720 million, respectively. With the combination of strong cash flow generation from the existing NextEra Energy Partners portfolio, including the approximately 2,400 net megawatts of new renewables and storage added during 2021 and its relatively low payout ratio, NextEra Energy Partners has significant flexibility in terms of acquisitions in the coming year. Although acquisitions could occur at any time in 2022, for modeling purposes it may be practical to assume that any new unannounced asset additions occur late in 2022 and therefore have limited contributions to the calendar-year 2022 expectations implied by the year-end 2021 run rates for adjusted EBITDA and cash available for distribution for the portfolio that we just discussed. NextEra Energy Partners run rate expectations for adjusted EBITDA and CAFD at December 31, 2022 remain unchanged. Year-end 2022 run-rate adjusted EBITDA expectations are $1.775 billion to $1.975 billion and CAFD in the range of $675 million to $765 million, respectively, reflecting calendar-year 2023 expectations for the forecasted portfolio at year-end 2022. As a reminder, all of our expectations are subject to our normal caveats and include the impact of anticipated IDR fees, as we treat these as an operating expense. In summary, we continue to believe that both NextEra Energy and NextEra Energy Partners have excellent prospects for growth both in the near and longer term. Florida Power & Light, Energy Resources and NextEra Energy Partners each have an outstanding set of opportunities across the board. The progress we made in 2021 reinforces our longer-term growth prospects and, while we have a lot to execute on in 2022, we believe that we have the building blocks in place for another excellent year. That concludes our prepared remarks and with that we will open the line for questions.
Operator: [Operator Instructions] The first question comes from Julien Dumoulin-Smith with Bank of America. Please go ahead.
Julien Dumoulin-Smith: Hi, good morning team and thank you for the time and congratulations to everyone here. So many folks so well deserved. Indeed, Jim, we'll miss you, but we'll see you soon enough here, I'm sure.
Jim Robo: Thank you.
Julien Dumoulin-Smith: Absolutely. If I can pivot here just to some of the core questions. First off, just impressive guidance. Can you talk about how you're thinking about BBB? I mean, maybe the way to ask this is a little bit in reverse. How do you think about BBB if that had actually happened here? What assumptions are you making out in 2025 on extensions or which frankly appear more likely than not eventually anyway? And perhaps more directly, how are you thinking about investments beyond wind and solar in those 2025 figures, for instance, storage or hydrogen, for instance?
Jim Robo: So Julien, let me take that. So we don't need BBB to deliver on the expectations that we've just laid out, right. I think about BBB as an accelerator, not as something that we would need in order to deliver on what we just laid out in terms of the earnings or the backlog growth that we've projected through 2024. In terms of how am I feeling about BBB, I would say two things? I am optimistic about something happening some point this year. And I would say that might – when I say optimistic, I would say more likely than not. I think I was – I think I felt more optimistic in the fourth quarter than I do now. I think that's just reality, but I do think it's more likely than not that the clean energy piece of BBB gets acted on this year. I do think it's going to take a while. And everything we have heard says there is particularly in the Senate, I think a desire for some process and process takes time, given the Senate rules. And my sense is that it's not going to be a first quarter event, it's going to be post that either a second quarter event or honestly, probably more likely sometime in the fourth quarter after the election.
Julien Dumoulin-Smith: Yes. I got you there. Feel free to opine any more on the 2025 guidance. I know that it's probably preempting a little bit the June Analyst Day, regardless. And then maybe if I could pivot in brief, any thoughts or comments you'd like to share around some of the headlines pertaining to FPL here? I know there has been a lot of back and forth and perhaps there is a lot of context to provide there.
Jim Robo: Sure, Julien. I think on some of the Florida political headlines, I think what I'd like to say on that is pretty simple. When we got – when we received the report and those allegations that have been in the press, we conducted a very extensive and thorough investigation that included looking at company financial records. It includes looking at everyone who was named in its company e-mails also looking at their – they've all provided access to their personal e-mails and text to us as part of that investigation. And the bottom line is we found no evidence of any issues at all, any illegality or any wrongdoing on the part of FPL or any of its employees. And so, that's kind of the bottom line. And I feel very good about the investigation that we did, and I feel very good that there is no basis to any of these allegations. So I think that's probably all that we're going to say on that today. And I think Rebecca is going to talk about the 2025, your question on 2025.
Rebecca Kujawa: Julien, as you might appreciate, and I'm sure everyone does on the call, when we think about our ranges of expectations, particularly when we're talking about several years out, like you asked about specifically 2025, there are quite a number of variables that we consider in order to set those ranges. And in particular, for the comment that we provided that we'd be disappointed not to be at the high end of each of those ranges, including 2025. I would say the key parts that we think about, first on Florida Power & Light Company, we've got the outcome from the four year settlement agreement that is now the – how we expect to operate for the next couple of years, and that creates the opportunity to continue investing in the business and executing on the strategy that's been so successful for customers over quite a number of years looking back, so we can continue that for the next couple of years. And we believe that, that will enable us to grow rate base in the range of 8% to 9% on a compound annual growth rate basis, assuming all of the investments that were anticipated in the settlement agreement, ultimately, we're able to successfully bring into service. On the Energy Resources side, the biggest drivers are the ones that we've talked about and are laid out in the slide materials on Page 16. Looking at our development ranges for all of wind, solar, energy storage and wind repowering over this four year period from 2021 through 2024, which obviously would have the largest impact on what our earnings look like in 2025. As Jim highlighted, if there is change in regulatory or incentive structures, we would obviously factor that in the future. But that's not anticipated in these estimates, and we feel really good about how we're positioned to execute between now and then. We do have to execute a lot. We have to execute the energy resources, which I'm excited to take on that challenge. We have a lot to do to continue delivering like we have at Florida Power & Light, but I think we're in a great position to do so.
Julien Dumoulin-Smith: Excellent team. Best of luck. See you soon.
Rebecca Kujawa: Thank you, Julien.
Operator: The next question comes from Steve Fleishman with Wolfe Research. Please go ahead.
Steve Fleishman: Yes. Thanks. Good morning. Congrats, Jim and John and everyone else. So maybe, Jim, could you just give us a little more color on what you are going to focus your time on as Executive Chair and how long you intend to likely be in that role?
Jim Robo: Sure, Steve. So I think my focus is going to be to help John with the transition and in particular, help John with the transition as it relates to the Board. You should think about my transition time in terms of months, not years. And that's probably all we're ready to say about it today. But my real focus is going to be on making John as successful as I know he will be.
Steve Fleishman: Okay. That's helpful. Second question, just on the kind of renewables development, maybe you could just talk a little bit to the trends that you're seeing there. It did seem like fourth quarter slowed versus the prior quarters in terms of backlog growth. And is there may be some kind of waiting to see what happens with folks on BBB in the market right now or anything else that you might want to highlight?
John Ketchum: Yes. Steve, I'll take this. This is John. First of all, we're coming off a record year with 7.3 gigawatts, had a strong fourth quarter, posting about 1,500 megawatts. What we are seeing in the market is continued strong demand, and that's coming from a number of different sources. It's not only coming from investor-owned utilities and munis and co-ops, but also C&I. As there's been a lot of rotation of capital into ESG funds, it's certainly getting investor attention and putting an impetus on companies to become sustainable. And so one of the things that we've spent a lot of time on over the last couple of years is our customer base and how do we market to a different customer base, not that the investor-owned utility and muni and co-op won't always be our core. It will be. But we're doing some things differently, too, around C&I., for example. Some of you might have seen the Optos release where JPMorgan is partnering with us on new software product, where we go in and we basically are able to calculate exactly what their energy footprint looks like today. How we can make it better, how we can take money out of the bill, how we can make it greener. That's just one example of some of the things that we're doing differently in terms of the ways that we approach the customer. And when I look at the pipeline that we have in place, the land positions, the interconnects, it's second to none. It's an area of certainly focus that we are continuing to build out. We'll talk a lot more about that at the Analyst Day. But we have the best sites, the best team, the best talent the best analytics and the normal competitive advantages of being able to manage the supply chain operate cheaper, finance cheaper, all those things come together, give us a lot of optimism about the future.
Steve Fleishman: Okay, great. And then one last question, just on the guidance improvement. If I had to kind of simplify kind of what's driving the higher guidance, 2022 and beyond in terms of factors? Any just kind of key reasons you would say for the higher guidance?
John Ketchum: Yes, I'll take that as well, Steve. I think Rebecca covered certainly the FPL piece. And then you think about Energy Resources. We've doubled the backlog in the last few years; continue to see a lot of promise there with or without build back better. Jim said, more likely than not that we're able to get something passed there by the end of the year. But we plan our business as if it doesn't happen. And our financial forecast is based on it not happening. And that's why we were very resolute in our ability to take our expectations up not only for 2022, but to extend the guidance out through 2025. And that's just based on what we see in our renewable backlog. And when you think about the expectations that we laid out for investors for 2021 and 2022, I think, we've done a terrific job of meeting those and then laying out 2023 and 2024. We've made tremendous headway against those expectations.
Steve Fleishman: Great, thank you.
Rebecca Kujawa: Thanks, Steve.
Operator: The next question comes from Shar Pourreza with Guggenheim Partners. Please go ahead.
Shar Pourreza: Okay good morning, guys.
Rebecca Kujawa: Good morning.
Shar Pourreza: Congrats, Jim, John, Rebecca and team on the moves, well deserved. Just most of my questions actually just got answered. But just a quick question on near ventures. Obviously, you guys are starting to expand the playbook into CCS. Water, wastewater treatment. And obviously, in the prepared remarks, you just highlighted the hydrogen value chain opportunities there. Is the future growth of any of these type of investments more specifically predicated on any outcomes of federal policy like a hydrogen PTC? And seeing sort of the lack of progress on that front, do you anticipate any pullback from these sort of opportunities? Not the base business, not the base newer opportunities, but more specifically on the venture side.
Rebecca Kujawa: Thanks, Shar. And I appreciate the question. We do think there's a lot of opportunities as I talked about in the prepared remarks, not only of purely executing our renewables for the electricity sector, but helping use clean energy to decarbonize these other industries. And we're thinking about some of these investment opportunities as a way to explore how those business models and investment opportunities are ultimately going to shape up over time. But to answer your direct question around the incentives, the investments we've made to date do not assume that there's a change of incentives or even the specific question around hydrogen that there's a hydrogen PTC. But as John and his team, the Energy Resources team has evaluated a number of hydrogen pilot opportunities or future business opportunities. They certainly would be furthered and helped. Some of them would be by hydrogen PTC. And that's one of the things that I know we, as a whole team remain optimistic about that if something happens, whether it's the full BBB or just a climate title that happens through reconciliation, we're optimistic that a hydrogen incentive would be included in that package. I think there's a lot of opportunities to further the decarbonization of the U.S. economy through the use of hydrogen. So short answer, investments don't assume it, but I think there's even more opportunity if there are some incentives like the hydrogen PTC in the future.
Shar Pourreza: And then let me ask you, just, obviously, the opportunity is sort of that, especially as you're thinking about on the hydrogen side. As sort of the growth starts to transpire, how are you sort of thinking about credit metrics? Any potential pressures there as that business grows? And how we should be thinking about equity funding on those?
Rebecca Kujawa: Yes. One of the strategic imperatives, the way that we think about managing the business over the long-term, and I highlighted a couple of times in remarks and we highlighted on a consistent basis because it's a high priority for us is maintaining that strong balance sheet. As you've seen, quality of credit degrade elsewhere in the industry, we have remained as committed as ever to maintaining that strong balance sheet. We think it's a huge differentiator for us and being able to execute our business to deploy the capital that we deploy and to provide the stability that our customers assume and expect from us, we think a strong balance sheet is imperative. So, as we think about all of these investment opportunities, the growth in our business, that will remain a priority, and we will assume that as part of the way that we're thinking about the business as a private facia part of the strategy.
Shar Pourreza: Terrific. Thanks again I’ll pass it to someone else. And again, big congrats John and no surprises here. Thanks.
Rebecca Kujawa: Thanks, Shar.
Operator: Thank you. The next question comes from Steven Boyd with Morgan Stanley. Please go ahead
Steven Boyd: Hey good morning. I just want to echo congratulations to Jim, and to John and Rebecca, and Kirk and Eric. The performance you all have achieved is really quite remarkable. So, congrats are absolutely in order. So just so happy for you all. I wanted to spend a little time on the technology side. I guess it strikes me that within NextEra for years; you've all been developing a variety of interesting technologies, sometimes not always as visible to us. But it just strikes me that some of those developments are becoming both more visible and potentially more commercial, more of interest in terms of ways you can monetize that to a fairly broad customer base. And then just curious, I know this is a high-level question, but just interested in your take on how important technology such as some of the software development that you all mentioned could be to driving earnings power to driving growth of NextEra in the long-term?
Jessica Aldridge: Yes, Stephen, thank you for the question. And I think you're absolutely right. It's probably something that we have not talked about very much, and probably will talk about more going forward. The reason why we had not talked about it a lot in the past is we really have thought about it as a strategic advantage to us, which we continue to believe a strategic advantage to us. And we've largely used as a way to further both the profitability and the win rates on developing renewables. As we thought about how does the business grow and change and we capitalize all of these opportunities that you and we and the industry see, one of the shifts is thinking about our commercial and industrial customers, whether they are traditional C&I customers that have been interested in the products that we sell or new ones, or ones that, or more industrial in nature, agricultural in nature, they often need some additional services to help them understand how to manage their generation and load needs, think about their carbon intensity, deliver on their own environmental, social and governance goals. And some of the things that we've developed internally through all of our expertise are very appropriate and enormously valuable to these customers. So, we've seen the opportunity to continue these investments, think about how we package and sell them to customers, and you'll see a lot more of that from us going forward. And we think there's a huge opportunity to sell not only those services, but also use them as a way to deepen our relationships with our customers and ultimately deploy renewables over time.
Steven Boyd: That's really helpful Rebecca. And would that be essentially upside to the plan, in other words, sort of beyond the typical kind of numbers we see around renewables deployment, et cetera? Is this an area of upside? Or have you factored some of this into thinking about your growth?
Rebecca Kujawa: I think for base assumptions, we're including some assumptions around what we think we can do with these types of businesses. But as always, there's pluses and minuses. Fortunately, for us, they've largely been pluses in recent history, and we've been able to deliver adjusted EPS growth in excess of even what we, they have anticipated or laid out for investors prior to delivering. So hopefully, we'll be in a position to do that again over time. But for now, I think you should safely assume that our expectations are the ones we just laid out in the last couple of minutes. And we'll use all of these levers to deliver against those and again, hopefully achieve as we expect the high end of each of these ranges, which we would feel very proud of and see as enormously value accretive to shareholders.
Steven Boyd: Okay, I agree. Maybe just one last one for me. We're often asked about impediments to growth in clean energy and pretty clearly, NextEra is not experiencing that. Just curious if you could talk a little bit more about just sort of some of those impediments sort of perception versus reality, things like supply chain, labor availability, permitting, anything else? Just sort of – I think there, frankly, is sometimes a misconception about those limits to growth. And it looks like clean energy growth remains very strong, especially for NextEra. But just curious if you could just comment on those perceptions of limits on growth.
John Ketchum: Yes, let me take that one. I think you identified some of the obvious ones that we have that we are addressing, certainly, supply chain and those types of issues, and I think we've answered those. I think when I look at the market today, Stephen, the issue for companies to be successful or not successful; the biggest differentiator is going to be many of the questions that you just asked. And are you positioning your company for what is going to be a more complex energy offering that is going to be demanded by the customer? Rebecca gave the example of a C&I customer. It's not as simple as being able to approach a C&I customer and say, "Hey, I'm going to sell you 100 megawatts of wind or 100 megawatts of solar or what do you think about a 50-megawatt battery?" These are people that are selling candy bars, and bottles of water and things of that nature. They are not in our business. They need the expertise as to how they think about that addition within their existing energy needs. And so, it takes a comprehensive skill set in order to come forward with a clean energy solution that makes sense for that business. And so, when you think about a lot of the small developers that we have to compete against in solar and wind, they don't have that expertise. They don't have the ability to offer firm and shape products and things that it's going to take to really win the business. That's the first piece. The second piece is the question you asked around technology. We have been very aggressive in our investment around technology. We've talked about the NextEra Energy analytics team that we bought back in 2005. We have really built that team out. It's a group of PhD, mathematicians, software developers, software engineers, that not only use those tools to help manage our existing fleet and help leverage and drive operating efficiencies around what we do every day in managing our existing footprint, but they're now able to take all that data, all that information, all that know-how to develop comprehensive software solutions for customers. And that is a huge leg up that we have over the rest of the industry, and one of the things that we're looking at. And the third thing is renewable enablers. We are really looking at what it means to lead the energy transition. What are you going to have to be good at? And what capabilities are you going to have to have as an organization to really do that. And we have been spending the last three or four years, very focused on it. We don't talk a lot about some of the things that we're up to. You'll get more details at the Analyst Day, but needless to say and be self-assured, we're ready.
Stephen Byrd: That's great of you. Thank you so much.
Rebecca Kujawa: Thank you, Stephen.
Operator: The next question comes from Michael Lapides with Goldman Sachs. Please go ahead.
Michael Lapides: Hi guys. Thank you and congrats to everyone on all the leadership changes. I actually have two questions on the regulated business in Florida. First of all, can you just remind us, and I know you'll give us more detail six months from now. But just can you remind us what the capital spend levels for the next couple of years are, combined FP&L and gold or if you want to break it out and separate those, too?
Rebecca Kujawa: Yes, it's probably about $7 billion to $8 billion per year. It's included, Michael, in the regulatory capital employed growth of roughly 8% to 9% per year.
Michael Lapides: Got it. $7 billion, $8 billion per year, and kind of flat? Or do you see that escalating over time? And how should we think about what percent of that capital is either recovered as part of the rate case revenue requirement increase or via the tracker? And what part may – would build up as rate base and you get it back in a future case?
Rebecca Kujawa: There's a mix, of course, Michael, as you might expect and we certainly have our best laid plans that will include as part of the updated CapEx tables in the 10-K when we publish it in a couple of weeks. One comment on that, I would make and obviously there's a difference between, as you recall, from the CapEx table for FPL versus Energy Resources. But in both cases, as you get closer to that operating year, the teams tend to find good investment opportunities that are value accretive from a customer standpoint and may add and subtract to those over time. But those will be our best estimates based on what we've seen so far and also under the parameters of the settlement agreement inclusive of the SolarTogether investments that were approved as part of the settlement agreement. And also anticipate the current views around the investments on both storm hardening and undergrounding that, as you know, are included in a clause mechanism and recovered separately and approved separately over time. Those change over time depending on what we see and where we see the value coming for our customers, but we feel very good about the overall views. And of course, we'll give more details as we go into the investor conference in June.
Michael Lapides: Got it. And Rebecca, I just want to come back to some of the comments you made in your prepared remarks about FP&L and earnings targets for next year and beyond. Is it getting harder operationally, just given the size and the amount of capital you're deploying at FP&L, to hit the highest end or the top end of the earnings band? You're laying – historically, if you kind of go back and skim the transcript, always kind of talk about hitting that high end and it almost seems, and I may be misinterpreting, but the language today was kind of towards the high end, but maybe not exactly added. And I was just curious if there's a change there in terms of being able to hit the 11.7% level?
Rebecca Kujawa: Sure. Let me answer the – I don't know if you're asking full on the NextEra Energy side where we typically have the language would be disappointed not to be at or near the high end. That language is exactly the same. And if anything changes solely a stumble on my part in terms of speaking, but the language is exactly the same. If you're asking specifically around Florida Power & Light Company, the approved range, as you know, for the settlement agreement is the range of 9.7% to 11.7%. And my comment was specifically around our expectations for 2022, which, of course, is the first year of the new settlement agreement. And that also includes the one-year limitation that was included in the settlement agreement around the use of surplus amortization just in this year, which is a maximum amount of $200 million. When we think about everything, what our investment plans are, our opportunities for continuing to focus on cost improvements, other improvements for customers, the investments that we plan to make, and the use of the surplus amortization, including the shape over time. We believe that at the end of the year we'll be able to report a regulatory ROE at the high end of the range. Where exactly that is, of course, we'll refine it over the – as the year progresses. And then, of course, we'll be targeting the high end of the ROE range in future years as well.
Michael Lapides: Got it. Thank you, Rebecca. Appreciate for taking the time and congrats again.
Rebecca Kujawa: Thank you so much, Michael.
Operator: The next question comes from Jeremy Tonet with JPMorgan. Please go ahead.
Jeremy Tonet: Hi, good morning.
Rebecca Kujawa: Good morning, Jeremy.
Jeremy Tonet: You covered a lot of ground today. Just one question for me and it's kind of been touched on a few different times, but just diving in with the transition, in general. Just wondering if you could comment a little bit more about why now is the right time versus any point in the past or in the future to make the transition. And then should we expect anything new in messaging from NextEra with the transition here? Could we expect something kind of new along these lines at the Analyst Day?
Jim Robo: So Jeremy, this is Jim, on the transition. I think you heard in the prepared remarks, this is something that the Board and I have been working on really in earnest since – well, honestly, in earnest, since my first succession planning discussion as CEO back in 2012. But I let the Board know that my target for retiring as CEO was after – I let them know this in 2016, honestly, that my target was after the 2020 rate case. And I actually extended kind of my time line a bit to get through this rate case. And so that's been – it's been my plan for a very long time. Obviously, we didn't make any decisions about it until we announced it here. But it's been something that the Board and I have been discussing for a very long time and we've been very deliberate about the succession planning that we've done, and I'm really pleased with the team that's going to be leading the company into the future.
Rebecca Kujawa: And I think, Jeremy, you had a second question going into the investor conference. Can you remind me what that was?
Jeremy Tonet: Yes. Just thank you for that Jim, that's very helpful details there. And just as we look at the Analyst Day here, should we expect kind of with the transition, any kind of change that might materialize in messaging at that point at the Analyst Day? Or that's not really the expectation at this point?
John Ketchum: Yes. For the Analyst Day, first of all we have never been in a better position. We're coming off of what I would characterize as our best year as a company. And it's been really a testament to the entire lead team, not only obviously the job Jim's done, but the job Eric's done, the job Rebecca's done and the leadership team that we have in place at Energy Resources. We have an extremely deep bench with a ton of experience. I've been here almost two decades. Eric's been here almost two decades. Rebecca has been here 15 years. And we have just a wealth of experience in the team that will bring full bear on the opportunity set that we have that we have going forward. And the way I think about it is we will continue to double down on the core. That means execution. Like – unlike what we've seen in the past around FPL and the capital plan that they have for customers and for shareholders, the renewable opportunity that we have in this country. Don't forget renewables are cheap; they're the cheapest form of generation in this country with or without incentive. So we have a tremendous opportunity there as well. And then the third piece I would characterize as the renewable enablers. What are the other things that we can do as a company that we've been working on behind the scenes that will help position us to be the leader of the energy transition in this country, and we're going to deal with the best team in the industry. So that's really what you're going to hear about at the Analyst Day.
Jeremy Tonet: Got it.
Operator: This concludes our question-and-answer session and the NextEra Energy and NextEra Energy Partners earnings conference call. Thank you for attending today's presentation. You may now disconnect.